Executives: Matt Rhodes -  Brad D. Smith - Chief Executive Officer, President and Director R. Neil Williams - Chief Financial Officer and Senior Vice President
Analysts: Kash G. Rangan - BofA Merrill Lynch, Research Division Brent Thill - UBS Investment Bank, Research Division Jennifer A. Swanson - Morgan Stanley, Research Division Kartik Mehta - Northcoast Research Peter L. Goldmacher - Cowen and Company, LLC, Research Division Scott A. Schneeberger - Oppenheimer & Co. Inc., Research Division Gil B. Luria - Wedbush Securities Inc., Research Division Raimo Lenschow - Barclays Capital, Research Division Gregory Dunham - Goldman Sachs Group Inc., Research Division Walter H. Pritchard - Citigroup Inc, Research Division James Macdonald - First Analysis Securities Corporation, Research Division Philip C. Rueppel - Wells Fargo Securities, LLC, Research Division Laura Lederman - William Blair & Company L.L.C., Research Division Brad A. Zelnick - Macquarie Research Ross MacMillan - Jefferies & Company, Inc., Research Division Yun S. Kim - ThinkEquity LLC, Research Division Saket Kalia - JP Morgan Chase & Co, Research Division Michael Millman - Millman Research Associates
Operator: Good afternoon. My name is Sayid, and I will be your conference facilitator. At this time, I would like to welcome everyone to Intuit's Second Quarter Fiscal 2012 Conference Call. [Operator Instructions] With that, I would now like to turn the call over to Mr. Matt Rhodes, Intuit's Director of Investor Relations. Mr. Rhodes, you may begin.
Matt Rhodes: Thanks, Sayid. Good afternoon, everyone, and welcome to Intuit's Second Quarter 2012 Conference Call. I'm here with Brad Smith, our President and CEO; Neil Williams, our CFO; and Scott Cook, our Founder.  Before we start, I'd like to remind everyone that our remarks will include forward-looking statements. There are a number of factors that could cause Intuit's results to differ materially from our expectations. You can learn more about these risks in the press release we issued earlier this afternoon, our Form 10-K for fiscal 2011 and our other SEC filings. All of those documents are available on the Investor Relations page of Intuit's website at intuit.com. We assume no obligation to update any forward-looking statements.  Some of the numbers in this report are presented on a non-GAAP basis. We've reconciled the comparable GAAP and non-GAAP numbers in today's press release. Unless otherwise noted, all growth rates refer to the current period versus the comparable prior-year period. A copy of our prepared remarks and supplemental financial information will be available on our website after this call ends.  And with that, I'll turn the call over to Brad Smith.
Brad D. Smith: Thanks, Matt. Hi, everyone, thanks for joining us. We had a strong second quarter, and we continue to build momentum from the great start to the year. For the first time ever, we generated revenue of more than $1 billion in our fiscal second quarter. We grew revenue double-digits, driven by our core businesses and we grew our operating income and earnings per share faster than revenue, which is consistent with our operating principles. We remain confident in this growth trajectory as we continue to benefit from the long-term shift to Connected Services.  Each year, at this time, we recognize that you are increasingly focusing on tax, and so are we. It's still early in the season, but I'm pleased with how the business is performing so far. There's still a lot of game left to play and as usual, we've got some moving parts that are reflected in our results. Our team continues the relentless focus to deliver great products to delight TurboTax customers. Their efforts are validated by the market's reaction to this year's TurboTax product lineup, which includes PC Magazine once again naming TurboTax its Editor's Choice. This year, SnapTax mobile app is earning 5 out of 5 stars in the Apple App Store, and TurboTax for the iPad is currently ranking as the highest grossing iPad app. In addition, our new free tax advice offering is generating positive customer feedback and is helping TurboTax customers gain confidence that their taxes are done right and that they're getting the biggest refund that they're entitled to receive.  Stepping back to look at the early tax season results, we believe the total tax returns e-filed year-to-date are up slightly versus this time last year, but they're down compared to tax year 2009. This means the trend that we've seen for the past few years is continuing. Consumers are simply waiting until later in the season to file their taxes. With that said, third-party data and the TurboTax unit data through February 18 that we shared today give us confidence that the Software category is growing and that we're performing well. This is consistent with our plans for the season and as a result, we're reiterating our full year guidance for consumer tax revenue growth of 10% to 13%. Now while tax is top of mind, let's not lose sight of the performance in our other core businesses. Our Small Business group continues to execute well. Small Business revenue grew 9% in the quarter and is up 11% for the first half of fiscal 2012. We're on track to achieve our Small Business revenue guidance of 10% to 12% for the full year. Fueling our growth in Small Business is the continued shift to Connected Services. Examples in the second quarter include QuickBooks Online subscribers growing 35% year-over-year, Online Payroll subscribers growing 22% and Payment customers growing 11%, driven by the growth in our mobile payments offering, GoPayment.  The secular shift to digital solutions is good news for customer acquisition overall. More than 50% of the customers using the Intuit Online Payroll offering are new to Intuit. And for QuickBooks Online and GoPayment, more than 70% of the customers are new to the franchise. The digital shift also continues to enrich our mix as Connected Services generate recurring revenue streams and favorable lifetime value economics for Intuit. For example, QuickBooks Online has a lifetime value that is 20% higher than QuickBooks Desktop. And better yet, the shift to Online is accelerating across the entire company, with Connected Services representing 60% of total revenue in the first 6 months of this fiscal year, up from 54% in the first half of last year. That shows up in the financial results that we're announcing today, and it demonstrates that our strategy is working.  Just as a reminder, our 3-point growth strategy remains unchanged: To first drive growth in our core businesses, which benefit from high share, low penetration and superior Net Promoter Scores relative to competitive alternatives; second, to build adjacent businesses and enter into new geographies, which we expect to add 1 to 2 points of growth over the next several years; and third, to accelerate our company's transition to Connected Services, which now represent 62% of total annual revenue with over 35 million customers using our hosted offerings. I'm pleased with the results this quarter, but there's a lot of ground yet to cover in the remainder of the year.  And with that, I'll turn it over to Neil to discuss the financial details.
R. Neil Williams: Thank you, Brad. Let's start with total company performance for the second quarter of fiscal year 2012. Our financial results were revenue of $1.02 billion, up 16%; non-GAAP operating income of $249 million, up 52%; and GAAP operating income of $192 million, up 73%; non-GAAP net income of $0.51 per share, up 59%; and GAAP net income of $0.39 per share, up 70%. We're certainly very pleased with our overall performance in the second quarter.  Turning to our Business segment highlights. Total Small Business Group revenue grew 9% for the quarter. Within Small Business, Financial Management Solutions revenue grew 6%, which compares to growth of 21% in last year's second quarter. As a reminder, last year, we benefited from a price increase for QuickBooks Pro and accelerating growth in QuickBooks Online and Enterprise Solutions. Online and Enterprise Solutions customers continue to drive an improved revenue mix. The revenue for those 2 offerings combined is up 31% year-to-date.  Employee Management Solutions revenue grew 9% for the quarter, driven by online growth, improved Direct Deposit attach and mix. Online Payroll subscribers grew 22%.  Payment Solutions revenue grew 17% in the second quarter. Revenue growth was fairly balanced between total payments volume growth, which was up 10%, and adjustments in rates and fees. The total number of merchants grew by 11%.  Our Consumer Tax revenue totaled $295 million in the second quarter, up 44% versus the second quarter of fiscal 2011. As you'll recall, the IRS was unable to accept certain returns until mid-February last year, which contributed to a year-over-year decline in Consumer Tax revenue in the second quarter of fiscal 2011. The Accounting Professionals segment revenue grew by 8% in the second quarter. Our renewal rates remain strong, and we're confident in our full year guidance for this segment.  As Brad mentioned, we're off to a strong start and we're on track for the full tax season. As we do each year, we will release additional tax unit updates in mid-March and late April. The Financial Services segment also executed well in the second quarter, growing revenue 9%. Internet Banking end-users grew by 3%, and Bill Pay end users grew by 9%. Our growth in this business is driven by ongoing adoption of our online and mobile banking capabilities, with mobile users nearly tripling over the last year to 1.6 million. Revenue in our Other Businesses segment declined 5% in the second quarter. The decrease is primarily the result of a decline in Quicken revenue. Our Global business grew 8%, and Intuit Health grew 33% off a small base. Shifting to the balance sheet, the sound financial principles that support our strategy and objectives have not changed. Over the long term, we expect double-digit organic revenue growth and we expect to grow revenue faster than expenses. We seek to deploy the cash we generate to the highest yield opportunities, and we target risk-adjusted returns of greater than 15%.  Beyond internal growth investments and acquisitions, we consistently return cash to our shareholders. On January 18, we paid a cash dividend to shareholders, and our Board approved a $0.15 per share cash dividend for our fiscal third quarter. In the second quarter, we repurchased $331 million worth of our shares, leaving a little over $2 billion remaining on our current authorization. Finally, turning to our guidance, we are reiterating our fiscal 2012 guidance for revenue and raising operating income and EPS guidance. We expect revenue of $4.185 billion to $4.285 billion, for growth of 9% to 11%; non-GAAP operating income of $1.405 billion to $1.43 billion, for growth of 12% to 14%; GAAP operating income of $1.19 billion to $1.215 billion, for growth of 18% to 21%; non-GAAP diluted EPS of $2.90 to $2.97, growth of 16% to 18%; and GAAP diluted EPS of $2.43 and $2.50, growth of 22% to 25%.  For the third quarter of fiscal 2012, we expect revenue of $1.95 billion to $1.99 billion; non-GAAP operating income of $1.14 billion to $1.17 billion; GAAP operating income of $1.095 billion to $1.125 billion; non-GAAP diluted EPS of $2.47 to $2.51; and GAAP diluted EPS of $2.36 to $2.40. We are also reiterating EPS guidance ranges for the fourth quarter of fiscal 2012, which included non-GAAP diluted EPS of $0.06 to $0.08 and a GAAP basic and diluted loss per share of $0.02 to $0.04.  And with that, I'll turn the call back over to Brad.
Brad D. Smith: All right, thanks, Neil. Each quarter, we share with you the long-term trends that are driving Intuit's growth, and for good reason. These trends demonstrate the durability of our strategy and our favorable position in a fast-growing market shifting to digital solutions. Our strategy to grow our categories and increase our share endures. Our core businesses are healthy, with expanding customer bases and improving revenue per customer.  As I think longer-term, our opportunity to grow customers and revenue by converting nonconsumption has never been stronger as customers continue to adopt digital solutions and mobile devices. Even in tough economic times, consumers and small businesses are demanding digital solutions to help them save time and money. And Intuit will continue to deliver on our mission to improve our customers' financial lives through easy-to-use innovative products that are accessible anywhere, anytime and on any device. And to deliver on that mission, we recognize that it all begins with having talented and engaged employees.  On that note, I am proud to share that Intuit ranked #19 on Fortune's Top 100 Best Places to Work in the United States, our highest ranking ever. I want to thank our employees for making a difference in our customers' lives and for making Intuit a very special place to work. And with that, let's open it up to you for your questions.
Operator: [Operator Instructions] Our first question comes from Kash Rangan from Merrill Lynch.
Kash G. Rangan - BofA Merrill Lynch, Research Division: Brad, I guess the same question as we asked last time, the same time of the year. The underpinning behind your Consumer Tax assumptions vis-à-vis the breakdown between your category gains, share gain versus revenue per return gain. And then I guess one broader philosophical question for Neil, the pieces longer-term had been the margin leverage from the move to SaaS and I'm wondering if you can just give us a snapshot of how it exactly played out in the quarter. I did notice that you talked about potentially tougher comparisons on the QuickBooks side from relatively a year back. I'm curious how the move online is causing upward pressure to margins there?
Brad D. Smith: Okay, thanks, Kash. So let me take the first one and Neil can handle that second one as you directed the questions to each of us. First, on tax, the key drivers remain the same. The first is how many people will file returns with the IRS. We still anticipate that number will be close to 1%, although to be frank with you, the IRS isn't publishing a lot of data this year. So we're operating on our own assumptions. The second is we continue to grow the Digital Tax category. As you look at what's happened historically, it's grown twice as fast as tax stores and other alternatives. Our internal data suggests that we're continuing to do well in growing the category. The third is to continue to expand our share. And we like our game plan right now. There's still a lot of season left to play, but we are laser-focused on competing aggressively to take share. And the last is revenue per return, which we get through mix and attach. And so far, we like the early results we're seeing in that as well. So understanding that the season is playing out a little differently and there's not a lot of transparency in terms of the data coming from the IRS, just given some of the systems things that they've been converting to, we're operating on the same assumptions and so far, the season's playing out exactly the way we had hoped, and we know there's still a lot of game left to play and we're focused on bringing it into a good close. So that's how it's playing out on tax and let me hand it over to Neil to talk about the second piece.
R. Neil Williams: Sure, Brad. Kash, what we've basically seen through the first 6 months of the year, is that we've been even more effective with how we've handled some of our marketing and some of our management expenses. So we have opportunities, both in terms of marketing and in terms of employee cost and the effectiveness and efficiency of those. We have built some things, some assumptions into our plans for the first half of the year and we were able to achieve the revenue growth that we reported today without spending as much as we had planned. So we're passing some of that through to the revised guidance for the back half of the year.
Operator: Our next question comes from Brent Thill from UBS.
Brent Thill - UBS Investment Bank, Research Division: Brad, just on Small Business, can you just give us a sense of -- it seems like this bundled sale is really working well, and how you're seeing the cross influence of some of these other categories. And if you could also talk about Payments, that business continues to grow very well. What's the next leg of growth there from your perspective?
Brad D. Smith: Yes, Brent, we are very happy with what we're seeing right now in Small Business. Just to give you some context, if you go back 3 years ago, we used to get 40% of our new customers outside of QuickBooks Desktop. We're now getting 70% of new customers beyond QuickBooks Desktop. So as we shift to more Connected Services and mobile apps, it's helping us get new customers into the franchise and it's easier for us to identify additional problems that we can introduce them to a product through a simple link and so that drives cross sell and upsell and attach. That's why we're getting strong revenue per customer and the lifetime value economics as we shift away from Desktop to Online are 20% higher. So right now, we like what we're seeing. Payments is benefiting from that as well. Probably the single biggest driver on Payments right now in addition to doing a good job of attaching it to QuickBooks and QuickBooks Online is the introduction of GoPayment. And as we talked about a few minutes ago, 70% of those customers coming in on GoPayment are new to the Intuit franchise. And that's really what's helping accelerate the growth rate in our Payments business. The next phase for us is to continue to double down on looking for ways to get customers into the franchise, whether it's through an online version of QuickBooks towards Payments or Payroll, and then continue to do a better job of introducing them to other products to help them solve more of their problems so we can get a higher revenue per customer. It's working and we just have to continue to focus on it and we think we can continue to drive the progress forward.
Operator: Our next question comes from Adam Holt from Morgan Stanley.
Jennifer A. Swanson - Morgan Stanley, Research Division: Jen Swanson calling in on behalf of Adam. I wanted to follow up on some of Kash's questions around the tax business. And I think he said this, but I just wanted to sort of confirm it. Is your sense so far, I think last year you talked about mid-tax season where you thought you were tracking relative to the market overall. Is your sense this far in the tax season whether you're gaining share, losing share, maintaining share, how do you think about your trajectory relative to the rest of DIY software? And then more broadly, how has the competitive landscape shaped up this far? And how are things tracking in terms of your own marketing push relative to maybe sales and marketing spending coming in a little lighter than some people had expected?
Brad D. Smith: Jen, I will. First of all, we readily admit that the transparency because of some of the data not being out there from the IRS is going to be subject to our own research or even some of our other competitors' research. So this is what we're seeing based upon the data that we can see and the studies that we conduct. Right now, we like how we're competing for share in the marketplace. Our teams have a really good, strong plan in place. If you look at some of the apps we've introduced, we talked about 5 out of 5 stars in the Apple App Store for our mobile offering, which is SnapTax. The iPad app for TurboTax is the highest grossing app in the Apple Store. We also have really good reviews coming in on Amazon and a lot of other sources, and that basically speaks volumes for how customers feel about the products relative to the other alternatives in the market. And we think that's showing up in our results. In terms of competition, we really respect the competition we have. They keep us on our toes. They're good. It's fair to say that everybody out there is competing aggressively, and I think at the end of the day, that's good news for the category overall because more people out of the 142 million who recognize that digital tax is a great way to get your taxes done. It's better for all of us and ultimately, we're going to fight aggressively to get our fair share of that. So it is a competitive season but it's not anything that we didn't expect. In terms of the marketing push, we upped our spending in the first half of the season in Consumer Tax, as we said we would, but we also have plenty of firepower left to play the second half of the season as well. What we're getting though is better effectiveness out of our marketing investments. We're getting a higher ROI and so that's showing up and what you're seeing is more efficiency flowing through on our sales and marketing expense. Net-net, tax season right now is playing out the way we hoped it would and we're looking forward to finishing up strong.
Jennifer A. Swanson - Morgan Stanley, Research Division: And just one quick follow-up on that. In terms of -- and I would imagine mobile is still a relatively small piece of the mix overall, but are there any different behaviors from people filing their taxes via mobile that we should be thinking about in terms of linearity of the tax season?
Brad D. Smith: Well, SnapTax is targeted to an easy filer, and many times, easy filers tend to file earlier in the season. So we're seeing some good rapid adoption there. In terms of TurboTax for the iPad, so far, we can't tell you of any particular trends that are different other than the overwhelmingly positive feedback we're getting from the customers about the app and its ease of use and their willingness to recommend it to other friends and family members and we like that for the long-term prospects of the business. But right now, it's still early enough in the adoption curve that there isn't a lot of things that we can call out today, but we'll certainly be sharing more with you as we head into Investor Day in the fall.
Operator: Our next question comes from Kartik Mehta from Northcoast Research.
Kartik Mehta - Northcoast Research: Brad, I wanted to go back to your share in the marketplace and I realized that IRS data is not available, but I'm wondering, based on the analytics you have which I believe are pretty sophisticated, how do you think you're doing relative to the competition? And if you had to take a guess at what the category is growing on the tax side, what do you think that would be?
Brad D. Smith: Well, this is going to be the second part will be conjecture, the first part I'll give you based upon our analytics. Our data right now suggests that we're taking share online. It is still early enough in the season and there's a lot of game left to play. But right now, we are where we hoped we would be in terms of online share. And we use the same sources we've used in the past. In terms of retail, you can see the NPD data out there and it's suggested in the last couple weeks that we're pretty much at par. I think they round it down to having lost a point, it's really about 40 basis points. But given where we are in the season and what we have planned in the second half, that doesn't concern us at all. And as you know, 75% of the tax returns are now online versus retail. And so we're picking up share where we want, and we don't plan to yield share in any channel. So right now, the results for us suggest good news. In terms of what we think is happening in the broader category, we do surveys, but usually, we rely on the IRS data to also give us an independent source, and we haven't seen that data yet this year. But based upon what we're seeing, we do believe that DIY is continuing to grow faster than the other alternatives. And if you look at the last 5 years, we believe DIY has taken several points of share away from the stores, as well as the low-end pros. And we don't see that stopping.
Kartik Mehta - Northcoast Research: And just one other question, Brad. How is the free tax advice -- how has that worked out? Are you seeing the customer growth you wanted to for that particular product?
Brad D. Smith: You know, Kartik, we are. In fact, we're very pleased with the results. The Net Promoter Scores for our customers using the free tax advice are above our expectations. We're getting great feedback from customers. The adoption rate is what we hoped it would be. It's giving TurboTax customers the confidence to do taxes. And if they need help, they can reach out to us. And as you know, we have certified professionals, they're CPAs, they're enrolled agents and they're tax attorneys. And the quality of the help they're providing to customers is quite frankly, in our view, second to none. And so far, the feedback has been very positive.
Operator: Our next question comes from Peter Goldmacher from Cowen and Company.
Peter L. Goldmacher - Cowen and Company, LLC, Research Division: Can you give us an update on the 700 tax accountants you've hired? And any early returns on people using them? And any success you've experienced?
Brad D. Smith: Yes, Peter, that's what I just talked about a couple minutes ago with our free tax advice. We're very pleased with the people we have on board. More importantly, our customers are very pleased with the service they're getting from these 700-plus individuals. The Net Promoter Scores from that free tax advice offering is actually above what we hoped it would be from a forecast perspective. It's having a halo effect on the overall product. So the overall product's Net Promoter Scores are up. And we're getting very good pass-along or word-of-mouth to other people based upon people who are happy with the service. So right now, we like the results. We think it's going to help us continue to grow the category and we're looking forward to a strong second half of the season where we think it's kind of even more important as people get into more complicated returns.
Operator: Your next question comes from Scott Schneeberger from Oppenheimer.
Scott A. Schneeberger - Oppenheimer & Co. Inc., Research Division: Just a couple questions on different things. With the release on the tax data year-to-date, through February, you used the 18th and then you said for last year, just comparable prior-year period. Could you clarify what you used there, please?
Brad D. Smith: Yes, this year, it's February 18 comparable math prior-year period. I think, we sent the release out on February 12.
R. Neil Williams: We reported earnings later this year.
Brad D. Smith: And a couple of important points here, Scott, just to help clarify that. One is as you know, when you're on a 100-day tax season, every day is meaningful. And so having that delay is going to give you a little bit of apples and oranges. But the second piece is, keep in mind last year, the IRS that notified the industry and the taxpayers that they were going to hold certain returns and wouldn't be able to process them until around Valentine's Day. So what we released last year reflected basically some returns not being processed, and this year, we're actually growing over that big bulge of February 13, 14 and 15, when the IRS start accepting returns and we had to grow over that. And so to be double-digits right now over that big surge, we feel good about through February 18.
Matt Rhodes: Scott, it's Matt. if you're asking the date last year, it's year-to-date through February 19. That's the comparable period.
Scott A. Schneeberger - Oppenheimer & Co. Inc., Research Division: Okay. And if I understand, Brad, what you just said, so you are comparing nicely in the last 4 or 5 days, or 6 days, in comparing versus the 19th last year, I guess any comments you guys could share on maybe the 12th this year versus the 12th last year or January 31 versus January 31? I just want a feel for these first however many days it's been, monthly -- month roughly, how your bell curve looks?
Brad D. Smith: Scott, if you look at the fact sheet, you'll see the 31st through the 31st, and it's sort of the quarter close versus quarter close. And then, I apologize, the 12th versus the 19th, that was my miss. But if you look at 18th this year versus 19th last year, you can see the year-over-year comparison. What basically happened from the time the quarter closed until this first update on February 18, is this time last year, a lot of people have been notified that they didn't need to file their returns because the IRS wouldn't process until around Valentine's Day. And so you had a little bit of a surge come in, in that mid February 14, 15 timeline, and we had to grow over that from the end of this quarter to this first release. And so the fact that we're still maintaining good solid double-digit unit growth growing over that surge gives us confidence that we are where we want to be right now at this point in the season.
Scott A. Schneeberger - Oppenheimer & Co. Inc., Research Division: Okay. And I hate to bring up one of the other blemishes -- not that, that just was -- but the Quicken, could you speak to what occurred there? Was that expected or was that a little bit of a surprise?
Brad D. Smith: Yes, first of all, I hope you don't see that tax result as a blemish...
Scott A. Schneeberger - Oppenheimer & Co. Inc., Research Division: Absolutely not. That was a misspeak.
Brad D. Smith: That's okay. Now Quicken on the other hand, quite frankly, what we see right now is the ongoing shift away from desktop software, particularly in that category, to digital solutions in the cloud and to mobile apps. Mint is growing very quickly and it's exceeding our expectations on customer acquisition. We obviously have opportunities to continue to accelerate monetization there. But in Quicken, we have a Windows-based version of the desktop. We don't have a Mac version that's up to par for what our Mac customers are looking for, and we have not been able to capitalize in some of the newer devices, particularly for customers that want to use mobile apps and tablets. And so our team is basically taking a hard look at what do we need to do to breathe some new life into that franchise, and I guarantee you that the team's on it right now, but that's really the disappointment, is that business needs a makeover and we're in the process of doing just that.
Operator: Our next question comes from Gil Luria from Wedbush Securities.
Gil B. Luria - Wedbush Securities Inc., Research Division: First, I'll start with a follow-up to the seasonal question. Last year, how long did that surge last? How many more days in February did it last before you started getting back to the usual patterns? When we get the March update, will that be apples-to-apples versus last year?
Brad D. Smith: Gil, it's hard to tell. And to be candid with you, the surge last year came in, there was a window of 3 days where we did see a little bit of a volume uptick that basically allowed us to get through some of that backlog of returns. But as you know, the season continues to shift further out. We went into this season fully expecting the seasonality to look more like it did 2 years ago, since there wasn't any delay in prospecting from the IRS anticipated. But right now, what we're seeing is this tax year is somewhere between last year and the year before. And so it's kind of hard to call the seasonality curve. I can tell you, right now, what we feel good about is we're out of the gate strong, and each day that we're able to monitor the results up through to the release today, we're performing at or above the expected levels we had hoped for, and that's pretty much where we're going to play the rest of the season. So I wish I could give you a little more information. Until the IRS actually publishes data, we're all in the same boat. We're relying on our own internal data, and right now, we feel good about how the curve's playing out, but it's different than what we had originally anticipated.
Gil B. Luria - Wedbush Securities Inc., Research Division: Got it. And then in terms of your Small Business unit, for you to get to your guidance range, especially in the middle or top end of that, revenue would have to reaccelerate. Which of the businesses there do you expect to reaccelerate in the balance of the year?
Brad D. Smith: Well, a couple things to keep in mind, the payments in Payroll are doing very well right now, and FMS is doing well if you adjust for the fact that last year, in the first half of the year, we had some strong grow-overs that we had to comp against. We had a 15% growth in the first quarter last year and a 21% growth in the second quarter, driven by a price increase in QuickBooks, and the fact that we had backed off on some deep promotional discounting through the recession. As we look at the back half of the year, we expect strong performance across the Small Business franchise, and that's why we reiterated our guidance for the Small Business Group overall, that we provided the first of the year.
Operator: Our next question comes from Raimo Lenschow from Barclays.
Raimo Lenschow - Barclays Capital, Research Division: Hey, following on that question. Can you talk a little bit about the dynamics that you see at Desktop Online, especially on Desktop, do you see that being a stable business? Or is there a risk that at some point, it goes into decline?
Brad D. Smith: Raimo, are you asking specifically about a particular business or you're asking about...
Raimo Lenschow - Barclays Capital, Research Division: Sorry, that's on QuickBooks, sorry.
Brad D. Smith: Okay. Well, what we're seeing right now in QuickBooks is year-to-date, the desktop customers, the units are down about 2% in terms of the units sold. With that being said, the online version's up 35%, but you've got to keep that in perspective. We've got 4 million installed QuickBooks customers and we have 326,000 odd or 230,000 odd QuickBooks Online customers. So it's growing off of a smaller base. If we had to take a look at what we think the future will be, you're going to continue to see a faster growth rate in online than desktop. But a lot of customers really want to have their accounting information on the desktop. So we don't see it going away anytime soon. But we don't see it growing at the same rates as online. And one of the things we're doing with our desktop customers is providing them the ability to get their data up into the cloud so they can access their information through a mobile phone or a tablet. And we think that will also give some more continuity to the desktop customers. The net-net, online, we expect to grow faster than desktop and we think that desktop's going to be around for many years to come as well, as some customers prefer it and as we make it easier for them to access it through mobile devices. They'll get the best of both worlds.
Operator: Our next question comes from Greg Dunham from Goldman Sachs.
Gregory Dunham - Goldman Sachs Group Inc., Research Division: I did want to follow up quickly on the free tax advice dynamic. Are you seeing anything different in the profile of customers that are attaching to that program? Anything that you've learned here in the initial rollout of that plan.
Brad D. Smith: Greg, it's still early. I'll tell you a couple things, we just went through an operating review with the tax team on Friday, and then we had an update again last night. Right now, it's pulling the kind of customers in we hoped it would, people who use tax software but have a little bit of concern that they may get something wrong and those people who may actually have been using a competitive alternative like a tax store, and they were simply looking for the confidence of having someone to call and they were willing to do the work themselves. The surprise so far is this also helps us get even deeper into first-time filers, people that are coming into the category for the first time, and that's good news for us because as you know, in a normal year, it between 3 million to 5 million new people who enter the tax category for the first time and by introducing free tax advice, that was a surprise that we're willing to step back and figure out how we can exploit even more. But it's helping us get new customers who are coming into the tax industry for the first time.
Gregory Dunham - Goldman Sachs Group Inc., Research Division: Interesting. And switching gears, one quick question, Financial Services had another kind of 9% to 10% growth quarter, kind of the 2 best quarters that you've had in a while in that business. What's driving that? And do you feel that, that level is sustainable for the near to medium future?
Brad D. Smith: Thanks for calling that out. We're very proud of the performance that, that team is delivering. First and foremost, that performance by the way, even included the fact that we had one of our larger banks get acquired by another bank, and that bank decided to take the services in-house. And so we even had that sort of contraction happening and still delivered those kind of results. I'll tell you right now, the bookings we have in the pipeline, the people we have under contract in terms of the number of end-users, is as much in the first half of this year as it was in the entire full year last year. And so we've got a good healthy pipeline, we're going to have to get those customers implemented and activated. What's driving it is our mobile suite. We have 1.6 million customers now using the mobile app to do their banking, and that's 3x higher than it was last year. And there's a real win for the bank here. The average customer that does online banking visits their bank's site 10 times a month. For those that use our mobile banking product on the phone, they come in 21 times a month. And for those that are using the tablet, the iPad, they're coming in 35 times a month. And so it's increasing engagement, which is good for the customer and it's good for the bank, and that's why I think we're able to continue to grow and outperform what we're seeing happening at some of the other competitors in the market.
Operator: Our next question comes from Walter Pritchard from Citigroup.
Walter H. Pritchard - Citigroup Inc, Research Division: I wonder if you could just talk about your Small Business environment in general. We've seen some sort of green shoots in that market with introducing a number of NFIB [ph] and so forth. So I'm just wondering, maybe on a scale of 1 to 10, how healthy do you think the customer base is? And enterprise has recovered, large companies have recovered much faster. Do you feel like we've turned the corner in Small Business at this point? And what kinds of that are you seeing in your numbers here and in your forward-looking sort of thinking monitor?
Brad D. Smith: I'm sorry, we had a bad reception. It was hard to hear the question. I know that -- if you don't mind, could you repeat the question?
Walter H. Pritchard - Citigroup Inc, Research Division: Sure, so the question was just on the Small Business side, I'm wondering, we've seen some signs of improving economic metrics around Small Business and NFIB, for example, started to turn positive and show some optimism index and hiring intentions and so forth that are better. I'm wondering, where do you feel like you are in a scale of 1 to 10, in terms of the health of your Small Business customer base? And what do you see in the numbers here today and in your forward-looking thinking monitor around Small Business health?
Brad D. Smith: Got it. Okay, thank you. Well, we're seeing some modest improvement in the indicators, as you referenced, the NFIB. We look at more tangible things in our customer base which help us see whether they're changing their behaviors. Our Small Business employment index suggests that they're starting to hire modestly again on an annualized rate of about 2.9% in terms of hiring employees. Total charge volume at our customers was up about 10% year-over-year, which means customers are starting to shop with their businesses. With that being said, it's not robust but it's certainly moving in the right direction. So on a 0 to 10 -- or 1 to 10 scale, with 10 being a full recovery like it was in 2007, I'd tag it somewhere in the 7 and moving north. But it's still got a ways to go to get back to full health. The good news for us is the kind of products and services that we create helps small businesses in any condition, they help them basically get customers, help them save time and be more productive and help them pay their employees in a way that's a much better alternative than a more expensive outsource provider. So as long as we continue to get our solutions in front of customers, regardless of how quickly the recovery happens, we think we can continue to deliver the kind of results we've been producing.
Operator: Our next question comes from Jim Macdonald from First Analysis.
James Macdonald - First Analysis Securities Corporation, Research Division: Going back to TurboTax and price mix, any feeling of whether you're going to be able to get as much price mix on TurboTax as you got last year with less outright price increase?
R. Neil Williams: Jim, it's Neil. Our plan is still to continue to try to grow the category and to drive units. We certainly enjoyed a favorable mix this year and last year so far through this year. But our plan is to continue to try to attract new users. And so we continue to build out the product, we continue to help the upsell process, but it's still about new units, it's still about growing the category and growing our share of the category. So if the favorable upsell comes, it will be wonderful. But that's really not what we're solving for. We're really trying to grow the category and grow the units.
James Macdonald - First Analysis Securities Corporation, Research Division: Great. And then as a follow-on, for accounting professionals, did that business get affected much last year? It didn't seem to show the bounce back of the forms available, the issue last year. Or was -- so is there any of that issue in the accounting professional business that affected year-over-year comparisons?
R. Neil Williams: Not really, Jim. It's been a pretty clear second quarter for the Accounting Professionals group. As you know, most of those are on a membership basis and so -- and their busy time really comes in our Q3, as they actually file the returns but the compare there is pretty clean.
Operator: Our next question comes from Philip Rueppel from Wells Fargo Securities.
Philip C. Rueppel - Wells Fargo Securities, LLC, Research Division: Just another question on the Consumer Tax business. You mentioned briefly, Brad, that the attach rate or the revenue per return, you're quite pleased with the trend so far. Is there any seasonality around that? Would that change at all throughout the rest of the tax season? Or is that something you think you can maintain?
Brad D. Smith: Right now, we believe that what we're seeing is consistent with what we wanted to see in the first part of the season and it should maintain throughout the season. So there is nothing fundamentally different with what we've seen in the first part of the year that would lead us to believe it will be different in the second part. As Neil just said, our first opportunity and our first focus is to grow the category and get customers, and then if we're successful on getting them matched up against the right tax product, that helps us drive favorable mix, and our teams are getting better and better at helping the customer identify which tax product is right for their situation, and we don't see that changing for the back half of this season either.
Operator: Our next question comes from Laura Lederman from William Blair.
Laura Lederman - William Blair & Company L.L.C., Research Division: Can you talk a little bit about the free tax advice and a sense of how widely people use that? And long term, how you expect that to affect the profitability of that business? And how you know to hire the right amount of people? So I'd like to understand that concept a little bit better. And then I have one follow-up.
Brad D. Smith: I'm just wondering if you want me to take this one, Neil.
R. Neil Williams: You go ahead and start, and I'll talk about the -- how we allocated.
Brad D. Smith: So Laura, right now, one of the things that we were talking about in Friday's operating review with the tax business is just how closely they nailed the demand for that and how prepared the team was in terms of having the right number of agents hired and the quality of the agents. So, so far for us, the good news is the customers really like the service. It's helping us do a good job of take customers from the areas that we hoped we were going to be able to get customers from, and it's also helped us strengthen our value proposition for people who are filing taxes for the first time, which is great for the franchise long-term. So we like everything we're seeing with the free tax advice right now and also the demand in terms of the people adopting it, is pretty much on target with what the team had forecasted. I think as you get into the second half of the season and people move from the easier returns to the more complicated returns, the service will be one that will be even more readily in demand and our team is fully prepared for that. And so, so far, everything's playing out the way we had hoped, and we're very pleased with the results. And we're glad we have this as a part of the value proposition this year. Did you have anything you wanted to add to that, Neil?
R. Neil Williams: The only thing I would add to that, Laura, is that we talked a lot about the number of people actually performing the work, but I would tell you this is a much more holistic effort, to be sure they have good tools to use, to be sure that we can find the answers readily and quickly and to incorporate all the devices that we built over the last few years, including Live Community, our internal folks who work well, working on your return, as well as the free tax advice. So there are a number of tools and processes we've put in place to really improve the effectiveness and the efficiency of the free tax advice experts, so the people who are actually fielding the call, as well as our own internal team. So there's lots of improvements and innovation we put in place around this to provide the free tax advice.
Laura Lederman - William Blair & Company L.L.C., Research Division: So does it affect the profitability much of that business? Or is it such a small usage because you're using those people in other ways? So I'm just trying to understand its impact on profitability short-term and also long-term.
R. Neil Williams: Laura, the impact of that in the cost shift is included in the guidance we've given for the full year and for Q3. So you can see the impact that we expected to have this year, but this is a very profitable business for us longer-term and so again, the name of the game for us is to grow the business and there's plenty of opportunity we think for us to grow and to invest in the business and continue to attract customers at very profitable returns. So it's more again about customer acquisition and less about being defensive about our profit margins.
Laura Lederman - William Blair & Company L.L.C., Research Division: Fair enough. Totally different question, can you talk a little bit about the acceleration of the monetization of Mint? And maybe the status of some different things you're doing with that technology? And where it's at so I can get a sense of return on investment from buying Mint?
Brad D. Smith: So right now, the monetization for Mint, when you look at the online version on the Web, continues to perform very well. One of the things that we've noted is as more and more customers begin to access Mint through their mobile devices, the monetization models aren't readily transferable. And so we're getting very rapid customer adoption, really good feedback in terms of the customer experience, but we're having to innovate to look for creative ways to continue to look for monetization models there. By the way, I'm really happy this is happening at Mint because this is the precursor to pretty much any businesses that continue to see more adoption of mobile devices. You want to make sure that you have all the opportunities to experiment with monetization models. And so right now, what we're seeing with Mint is a really good adoption in the shift of mobile devices and how can we capitalize on that as a way to also find monetization models that will keep pace with the customer growth. So far, it's good. If you actually look at how Mint's helping the rest of the company, one of the primary focus areas we talked about at Investor Day was improving our first-use experiences of all of our products. For every 100 customers that come in and use a product for the first time, how many come back and use it a second time? Mint is the best-in-class and they have been basically inspiring the rest of the company to reduced the number of clicks and get to the outcome quickly. They're also helping us look at some new services in healthcare, as well as in Small Business which you'll hear more about later when we announce those. So net-net, Mint is playing a very strategic role for us and we're excited about the growth rate of the company or the business unit and we're also looking at ways to continue to accelerate the monetization models.
Operator: Our next question comes from Brad Zelnick from Macquarie.
Brad A. Zelnick - Macquarie Research: As we march further into tax season, Brad, it seems there's a lot competition for eyeballs and just qualitatively, it seems your competition is a bit more visible this year. So my question is around the ROI on your marketing spend, which I think you touched on an earlier question, but can you maybe share specifics on how the ROI is tracking versus your expectation? And is this improving along with a shift to an online business? And should we therefore expect it to continue indefinitely as that trend plays out?
Brad D. Smith: Yes, Brad, first of all, I think your qualitative assessment is consistent with ours. It is certainly a nice competitive tax season, it has a lot of people out there talking about the value and the benefits of digital tax solutions, and that's good news for us because I think they'd get more people looking at digital solutions. And we think we can compete once we get people into the category. In terms of our marketing efficiency and effectiveness, our TurboTax business, I would argue, is probably the best and most sophisticated marketing team we have. They are very good at understanding the ROI on every dollar they spend, they're an experimentation machine, they run AB tests, they're able to figure out which ones have the highest yield, and that's why you heard some of the responses from me and Neil about our marketing efficiency and effectiveness in the first half. And so right now, we're seeing a good ROI on those dollars and we plan to compete aggressively for the balance of the season, which was already in our plan. And in terms of other people out there with us, I think that's only good news for the category long-term.
Brad A. Zelnick - Macquarie Research: Brad, and just the last part of my question, is this reflective of a shift in the business to online? And is it fair to assume that the ROI in online marketing dollars is better than for traditional media?
R. Neil Williams: Brad, this is Neil. It's probably easier to match it up into adjusted more quickly. I mean, as Brad mentioned, the TurboTax team is really good at understanding and testing different approaches and different ideas and investing in those that work and pulling back on those in adjusting. So the thing we like about it is the ease of which you can expand or contract based on the responses you're getting and based on your test results. So from that standpoint alone, the online offering is much more effective and allows you to invest much more effectively.
Brad A. Zelnick - Macquarie Research: Neil, if I could just follow up with one other. 17% growth in payments was stronger than we had expected and it was a great result but the number of merchant account customers were up less sequentially than they had been in many quarters. So following up on Walter's question earlier, I guess this along with charge volume per merchant seemed a bit weaker than we'd expect looking at trends in Small Business optimism and the other various indicators that we look at. So I know this is a huge opportunity, but how does this compare to your expectations? And how do you feel about your share here in this category?
R. Neil Williams: Well, let's start with the last part first. We think there's lots of opportunity for the share. Our penetration of the QuickBooks base with our payments offering is certainly not where we need it to be and it's not where other offerings like Payroll are. So we think there's tons of opportunity there and I can promise you, we are laser-focused on that. In terms of the processing volume and the volume per merchant, I think what you're seeing is a reflection of the GoPayment merchants we're adding, that we love that as a way to add merchant accounts and add new customers to the franchise and bring them in. But they don't bring the same level of processing volume as our more traditional QuickBooks merchant services-type customers. And that's just the way the business is evolving. That's fine with us. And so that's I think what you see reflected in the merchant growth and processing volume factors.
Operator: Our next question comes from Ross MacMillan from Jefferies.
Ross MacMillan - Jefferies & Company, Inc., Research Division: Brad, I know there's a lot of noise in the compare in the Consumer Tax business thus far in the season. But as you think about the Digital category, do you think there's actually a chance for the Digital category growth this year to be better than last year, i.e. acceleration in Digital this year?
Brad D. Smith: Ross, I'll tell you what, I can fall back on and then I'll answer the question that you put on the table. I can fall back on the last half a dozen years, when you look at the data reported by the IRS, that shows that the digital tax category has grown 6% to 7% on an annualized basis. And that is twice as fast as the second closest alternative. And I can also fall back on other analogues and ask the question of what's happened in the book sales or what's happened in video sales or what's happened in banking? And what you see is more and more of an adoption to digital solutions to do the most important things in our lives or to make the kinds of purchases that we're looking to make. And so as I look at that trend and you introduce new things like mobile apps and products on the tablet, and you look at our 5-star ratings and the fact that we have the highest grossing app in the App Store with our tablet, I think that this shift to digital is only going to continue. Whether it will show up this year as faster growth than last year, it's hard to tell, because we don't have any real data to fall back on, but I'd sure like the trend over the next 5 to 10 years, and I'm glad we're in the position we're in right now.
Ross MacMillan - Jefferies & Company, Inc., Research Division: That makes sense. And then 2 quick ones. I noticed QuickBooks units picked up. I think it's the first positive growth number we've had there for some time and I was just wondering if you could talk to that whether there's any promotional activity or any other shift in that number? And then I had one for Neil, just on the guidance for the full year, the non-GAAP op income is up only a little bit, I think $5 million but we're getting a $0.05 increase on EPS. Could you just bridge the 2?
Brad D. Smith: So let me take the QuickBooks question. So what we're seeing is continuing strong performance in QuickBooks Online, QuickBooks Enterprise and all the Connected Services that are coming in that financial management sector, growing 35% in Online, 22% in Enterprise. And that just continues to build momentum. We're also past the grow-over of the free Simple Start that we had out in the market for some period of time and so we're now starting to get more of an apples-to-apples compare. And we're starting to see that positive momentum build. And quite frankly, our QuickBooks Desktop offering this year was one of the best quality offerings we've put in the market in several years and our ratings on the Amazon stores and in other key channels are reflecting that. And I think you see that showing up as well. So it's a combination of those things that are helping us post positive overall unit growth, and our plan is to continue to push in that direction.
R. Neil Williams: On the EPS question, Ross, I mean, the thing you have to take into account is we guided to a share reduction this year of about 3.5% to 4%, so that's going to cause you to have a little better outcome in EPS than you see in operating income, per se. Beyond that, there's just a few items dealing with rounding and dealing with the fact that Q1 of the year is a period that we show a loss and so we use primary instead of fully diluted shares, but primary driver there is reduction in the share count.
Operator: Our next question comes from Yun Kim from ThinkEquity.
Yun S. Kim - ThinkEquity LLC, Research Division: For Payments part of the business specifically, can you qualify how were you able to improve your margin there quite a bit on your Payment business despite GoPayments shunning [ph] much of the growth, which I'm assuming is not yet a high-margin business. Or is that a wrong assumption?
R. Neil Williams: No, I think that's a good assumption, Yun. I think the biggest driver there, we've talked about and we've called out is some pricing changes we made this year early in the season. And you may recall last year, the card networks passed along some price increases that we waited about 6 months before we passed through to our customers. And so we were a little late repricing our services and getting the full effect of that. Last year, those price changes are in this year and so you're seeing about half of the growth rate you're seeing in the revenue come from rates and adjustment changes we made, some in the last part of last year, some early part of this year. But really catching up with some of the network fees and charges have been passed through.
Yun S. Kim - ThinkEquity LLC, Research Division: Okay, great. And then just if you can talk about the attach rate or the ability to cross-sell additional product or services to the GoPayment customers, which I'm assuming is fairly lower end of your core QuickBooks install base but perhaps more tax savvy than the rest?
Brad D. Smith: Yes, so one of the first jobs that a Small Business has is to get a customer, and then the second job is to actually get that customer to pay them. And so what we're finding is that GoPayment and payments are nice front doors to get people into the franchise and that's playing out in the fact that 70% of these customers are new to Intuit for the first time. Now our ability to help them grow and become successful enough that they then need accounting solutions is our next game, is once you've got that customer and you've got a payment, you want to record that in an accounting package and that's why we're working with QuickBooks Online and the lower end versions of QuickBooks, to be able to have that solution unlock into a QuickBooks product. But right now, early days, it is bringing new people into the franchise as we'd hoped, and we do have a suite of other solutions that we'll be looking to cross-sell into that GoPayment customer base as they continue to grow in size and start to have additional needs that we can help them solve.
Yun S. Kim - ThinkEquity LLC, Research Division: Do you expect to offer a more of a low-end version of your core product and services to better target GoPayment customers?
Brad D. Smith: So we do have services today, that we work with those smaller customers and we have lots of small experiments going on as we speak, looking for other ways to make it simple for them, to solve just a piece of a problem as opposed to a full accounting product. So you'll hear more about that from us in the future. But right now, we have solutions that help very small customers do the important things they need to do once they realize that they want to move beyond just accepting a payment. So yes, we do have those solutions, you're going to see us focus more in that area as we go forward.
Operator: Our next question comes from Saket Kalia from JPMorgan.
Saket Kalia - JP Morgan Chase & Co, Research Division: It's Saket here for Sterling. Two quick questions if I can. So first, just to dig a little bit deeper into the ROI question, can you maybe point to 1 or 2 things the TurboTax marketing team did differently in the quarter that drove the higher ROI in sales and marketing? And do you think it will continue for the remainder of the year? And then secondly, you talked about at the Analyst Day, how you're improving some of the sticking points in TurboTax as filers have navigated through their filing. Do you think those efforts have helped in the retention rate so far this season?
Brad D. Smith: Okay, Saket. Let me answer the first question by talking about the approaching process as opposed to the specific things that have actually happened, because I don't want to tip our hand as we're in the middle of a tax season out there and give anybody else a hint. Our team has gotten very good at developing hypotheses and running AB tests to see which outperformed the other. And this is a lean startup methodology that early-stage startups do that we really continue to practice and try to refine across the company. And what it basically does is it removes what we call HIPPOs which are highly paid personal opinions, where people think they have a great idea and then you go execute it, to actually running fast experiments and putting them in front of customers and being able to run a little traffic through it and see if outperforms the other alternative. And as Neil said, in a Web-based world, that is so much easier to do and we can literally run quick volume through and if it outperforms, we shift over the total volume to that particular implementation. So that's what they're doing, is we're getting faster rapid experiments up, and we're able to prove through real data whether or not it's going to outperform or not, and that's what's driving the efficiency and effectiveness. The second part of the question was on...
Saket Kalia - JP Morgan Chase & Co, Research Division: Just kind of improving the retention rates from some of the sticking points that you've improved in TurboTax.
Brad D. Smith: Okay, thank you. Right now, we are seeing good results in the funnel. It's hard to tell until we get through season and look at next year, whether it'll have the impact we believe it will have on retention, but all the leading indicators that we can see in the middle of season are actually performing the way we had hoped, in terms of customers getting through the screens or getting past the areas that last year we noticed them struggling with. And so far, the early indicators are good, and we hope that will show up in the retention numbers as we roll into next year and customers have to make their decision once again.
Operator: And our final question for today comes from Michael Millman from Millman Research.
Michael Millman - Millman Research Associates: I guess some more tax questions. One, can you tell us what the number of forms that are generated from the software -- from one software is? And how that compares with what it was over the past couple years? And then secondly, you did indicate on the TurboTax that you've seen increase in new to filing. Maybe you could quantify that. And also possibly, the same for shift from other methods and the shift from pen and paper as well.
Brad D. Smith: Michael, so I will be the first to admit, we can't answer the question or I can't answer the question on the number of forms in the software. I do know that we have a very robust product that handles Federal, State and local taxes and so we're able to handle those situations. I couldn't begin to quantify the number of forms and I can't tell you if it's materially different year-over-year because that legislation happens in all the local markets but I know that our team has a product out there that basically is able to address those situations. So unfortunately, I can't quantify that for you. In terms of the sources of new customers, I alluded to this earlier, I don't want to get too precise right now because we're still halfway through season and I want to be able to play out the full season to see if it basically finishes the way it is right now. But we are seeing the ability for us to convert from competitive alternatives, not just software, but also tax stores and low-end pros and we are seeing better results and we're excited about the better results of continuing to build on our own track record of getting first-time filers into software. Software has always been a very strong solution for that digitally savvy group. But with the introduction of free tax advice, we're seeing a little acceleration in that area. And so, so far, we like what we're seeing in terms of our sources and new customers. In terms of manual, you know as well as we do, the number of people who are filing in paper and pencil have gone down each and every year. Last year, the IRS helped push that a little further along by not mailing the forms out and so the sources of people coming from paper and pencil are down versus where they might have been in years past, but we shared in our September Investor Day, despite what some people may have thought, we never had a predominant portion of our customers coming from paper and pencil. In fact, we showed a pie chart in that PowerPoint that showed that it was a lower number than I think many people attributed. And so the fact that it's declining has not shown up in terms of our unit growth that we just reported because we've been able to get customers from other sources as well.
Michael Millman - Millman Research Associates: So that continues to decline.
Brad D. Smith: It does.
Operator: I'm showing no further questions. I would like to hand the conference back over for any closing remarks.
Brad D. Smith: Okay. Thanks, Sayid. I want to thank everybody for their questions. We feel good about the second quarter and the first half results. Obviously, we're halfway through a busy season here. It's an exciting time on the Intuit campuses at this time of year every year. We appreciate you hanging in there with us and we're looking forward to speaking with you again in May. So with that, we'll wrap it up, and we look forward to talking to you soon.
Operator: Ladies and gentlemen, thank you for participating in today's conference. This concludes our program. You may all disconnect and have a wonderful day.